Operator: Welcome to Nordic Semiconductor's Q1 2025 Presentation. For the first part of this call, all participants are in the listen only mode. Afterwards there will be a question and answer session. [Operator Instructions] This call is being recorded and I will now hand the call over to Stale Ytterdal. Please begin.
Stale Ytterdal: Thank you, Keld, and good morning everyone. Please as Keld said, this presentation is being recorded and will be accessible on the Nordic website in the Investor Relations section. Additional for those of you who missed the release, you can find the earnings press release, quarterly report and presentation material also on our IR website. With me today are Vegard Wollan, our CEO; and Pal Elstad, our CFO. They will share details about our recent financial performance and updates on key business developments. Following the presentation, we will move on to the Q&A segment. During this time, live questions can be submitted through the Q&A dial-in features. For instruction on how to dial in, please refer to the earnings call invitation available under stock exchange notice on our website. Please keep in mind that dial-in is required only if you like to ask questions. As a reminder, this presentation includes forward-looking statements that come with inherent risks and uncertainties. Actually, outcome may differ materially from those statements expressed or implied. We highly recommend reviewing our detailed Q4 quarterly report and the 2024 annual report for deeper understanding of the risks and uncertainties that could impact our business operations. With that, I will now hand the floor over to our CEO, Vegad Volam.
Vegard Wollan: Thank you, Stale, and good morning everyone. My name is Vegard Wollan and I'm the CEO of Nordic and with me as always, our CFO, Pal Elstad. Let me go right into the main takeaways from the first quarter. Revenue amounted to $155 million in the first quarter in the upper half of our guiding range. This was more than a doubling compared to first quarter last year where you will remember that we took active steps to reduce distributor inventory levels. In this year's first quarter, the underlying demand was healthy and revenue was additionally supported by particularly high demand from certain individual large customers. Gross margin came in at around 50%, in line with our guidance for the quarter. And, looking ahead, we are guiding for a revenue range of between $145 million to $165 million for the second quarter, while acknowledging increased macro uncertainty in the current market and we expect the gross margin to remain at around 50%. The graph on the right hand side on this slide show our revenue development on a rolling 12-month basis over the last five years and you can see the revenue recovery that started in the second quarter last year. We have been well-positioned to capitalize from the gradual market strengthening through the second half of 2024 and this has continued into 2025. However, as you're all aware of, we have seen major changes in international trade policies that are potentially affecting the complex semiconductor value chains. Many of our customers and products rely on manufacturing and assembly in several different countries based on many components that are also sourced from lots of different countries. This makes it hard to get a whole picture and form meaningful opinions about the potential effects of temporary and/or permanent changes from tariffs on the value chain. What we can say is that we are continuing to work to develop an even more diversified and resilient supply chain and we maintain close collaborations with our customers to help and support them as best as we can to mitigate the challenges that changes in trade policies might bring about. We are obviously also aware that these developments may have secondary or indirect effects on currencies, interest rates, consumer and business sentiment, and ultimately on consumer spending and investments. Looking at where we are today, we believe it's too early to conclude about any such potential effects and the situation is continuously evolving. Let's focus on what we can do something about, which is to launch great products and support our customers in bringing new and exciting products to the market. As revenues are picking up on a rolling 12 months basis, we see solid improvement among both top 10 customers and in the broad market. As we no longer split between Bluetooth and proprietary technologies in our revenue reporting, we have also reworked this slide to cover all technologies. This only has a moderate effect of about 1 percentage points to 2 percentage points on the top 10's share of revenue, if we look at the last five years. Revenue from the top 10 are now roughly back at the peak levels from 2022, on a rolling 12 months basis, as you can see on the slide, showing the strength of our key customer relationships. However, revenue from the broad market is still some 40% below peak levels and we have made it a high priority to also regain traction in the broad market. As we said on our Capital Markets Day back in September last year, we see renewed growth in the broad market building on the success of the nRF54 Series and new product launches going forward, meaning that it will take some time before these customer successes are reflected in our revenue numbers. We remain the clear design win leader in terms of Bluetooth Low Energy end product certifications with 34% of the design certifications both in the first quarter and for the last 12 months. While this is somewhat lower than the 40% level we have seen historically, it is still around four times as many designs as the largest of our competitors and an improvement from the 26% we reported in the fourth quarter of 2024. As we have said before, our transition from the 52 and 53 series to the 54 series do create a bit of a timing gap for us. There are zero nRF54 in these numbers yet, but as we continue to see high design activity with many customers designing with our new nRF54 products, we expect this to gradually translate into more product certifications throughout 2025 and into 2026. I also want to remind that this is a simple count of certifications that doesn't differ between high and low volume products, meaning that you cannot translate this directly to value market shares. We are maintaining our strong relationship with high activity with our high volume customers and we believe that we are maintaining a higher market share in terms of total Bluetooth Low Energy volumes and revenues. We continue to gain traction with our new nRF54 series product after the market introduction towards the end of last year. As I just mentioned, design activity is high among both existing and new customers. We have promised to launch a series of new product families on the nRF54 platform over the coming years and I would say that we are on track with this innovative roadmap that will bring unique products to the market, specifically targeting high growth market segments. As we also have repeated on several occasions, we need to allow for customers to design in the nRF54, launch their products and ramp their production before we will see revenue. Meaning that we are going to see a limited effect of the nRF54 this year, but accelerating growth from 2026. Turning to our long range business, Pal will show you that revenue is picking up on the back of the nRF9151 launch in the second half of last year and it's good to see progress towards the long-term goals that we set to scale up the long-range business to a profitable business over the years to come. One key new development in the first quarter this year is that we are adapting the 9151 to include non-terrestrial networks or satellite communications, in addition to cellular networks. The hardware is there and we can enable this with only a software upgrade and we will start supporting customers in the second half of the year. We will be supporting both geostationary satellites and the low orbit LEO networks, which are presenting increasingly attractive value propositions to customers seeking true global roaming capabilities. The main market opportunities we see within global asset tracking logistics as well as remote infrastructure tied to smart agriculture, power and water grids, oil gas installations and other monitoring control systems that are in off-grid environments. As we touched upon at our Capital Markets day, last year, the long range business operates in a more complex environment than our short range business and we need to establish strong partnerships to unlock the opportunities that lie in the global IoT connectivity market. On this picture you see Oyvind Birkenes and myself signing a partnership with Deutsche Telekom to enable seamless connectivity with our nRF9151 module across their extensive networks and roaming partners. We have also begun to build a network of international partners to penetrate the non-terrestrial market including partners as Keysight, Skylo, Iridium, and Myriota. We are also helping shape the future of the NR+ driving smart building standards together with partners as Siemens, Legrand and Schneider. Finally, I want to mention our new Power Management IC the nPM2100 for end products with non-rechargeable batteries. This enables ultra low-power Bluetooth applications with longer battery lifetimes and help expanding our target markets for value add combinations of our PMICs and SoCs. Applications with demand for this type of solution are plentiful with personal health monitoring, various consumer applications, industrial sensors and many, many more. I've always said that we have world-class engineers and we are proud to say that this product won the Power Product category at this year's Electronic Excellence Award at Embedded World 2025 in Nuremberg. Congratulations to the team. With that I will leave the mic over to Paul to take you through the financials.
Pal Elstad: Thank you, Vegard. I'll now go through the financials but I'll start to highlight some of the changes we've done to the reported numbers in this quarter. So revenue amounted to $155 million in the first quarter as Vegard mentioned, which was more than a doubling year-over-year and a slight increase of 3% from the first quarter for the last quarter last year. The strong year-on-year growth reflects both the continuation of the gradual recovery we have seen over the past year and you will also know that revenue in Q1 2024 was significantly affected by us taking active steps to reduce inventory in the distribution channels. During 2024, Nordic reorganized its operations into four business units, short-range, long-range, power management and Wi-Fi. As communicated in the Q4 presentation, from Q1 2025, we will start reporting in these technologies; short range, which includes Bluetooth Low Energy and proprietary; long range, which is cellular, IoT and cloud; and other. The other category includes early stage businesses, power management and Wi-Fi, ASICs and development tools sales. While the technology development in Wi-Fi and PMIC is progressing as planned, these business units are still in an early commercial phase and therefore included in other. We will, when they start representing meaningful revenue, start reporting in separate numbers. On the backdrop, we saw strong year-over-year improvements and slight quarter-on-quarter improvements for both short-range and long-range revenue and across both key customers and the broad market. Short range revenue came in at $146 million, up from $140 in the fourth quarter, whereas long range revenue increased from $7 million to $8 million in the same period. Next page, turning to end user markets, we see year-on-year growth in all markets, although a decline in consumer from the levels in the second half of 2024. In Q1 2025, we have made changes to classification of certain market verticals. The main change is that the entire share by vertical has been reclassified from previously predominantly industrial to consumer. For 2024, the implication is that consumer is increased by $12.4 million and industrial is reduced by $11.6 million. You can find details on these changes in the fact sheet that's uploaded to our webpage. Consumer revenue amounted to 88 million, up from 51 million in Q1 2025 but down from 94 million in the last quarter. This continues to reflect the healthy development across the consumer electronics markets including the PC, accessories and gaming verticals. Industrial and healthcare revenue amounted to 60 million, up from a very low level at 20 million in Q1 but also up from 50 million last quarter. However, please note that once more that variations in order volumes from individual large customers will affect the numbers in any specific quarter. Gross margins ended at just below 50% and continues the same trend as we've seen in the previous quarters. The gross margin was roughly in line with our guidance, although it slipped slightly below 50% in the quarter and as always the variations mainly reflect changes in customer and product mix. However, we do maintain our long-term ambitions to keep growing gross margins above 50%. As communicated on our Capital Markets Day, our operating model is set up with an ambition to move towards EBITDA margins of around 25% over the next years. However, our organization and operating models is obviously geared towards a significantly higher revenue level than we have currently. We see a significant improvement last quarter, even though we are not satisfied with the 9.5% EBITDA level, it is the third quarter in a row with improvements and shows that higher revenue combined with cost focus leads us towards returning to profitability. Despite improving revenue, we are still spending more than 25% of revenue on R&D compared with the model target of 15% to 20%, although this is partly impacted by less capitalization in Q1 versus previous periods. SG&A is now at $22.8 million or around 15% of revenue. To achieve our long-term EBITDA margin targets, we are working along three axes that we've discussed previously. We need to grow revenue, we need to support our gross margins and improve them, and of course we need to contain costs to benefit from operational leverage, as we see now. We plan to deliver on these accounts in the years to come. Now, turning to cash cost, which is our OpEx adjusted for capitalization and equity compensation, Nordic has a sharp focus on returning to operating profitability, as I mentioned, requiring strict cost control while at the same time delivering on all key projects. As communicated at the 4Q presentation, our target is to keep OpEx relatively flat in 2025 compared to 2024, implying that any inflation effects will be offset by strict cost control. During Q1, we have been working on finalizing the work that was done during 2024 to align to the new business unit organization. During Q4 we carried out the resource realignment including a global workforce reduction. The result of this is that at the end of Q1 we are around 1324 employees. This represents a reduction of 3% compared to Q4 and reduction of 6% compared to a year ago. Adjusted in Q1 2025, total cash operating census was 62 million, down from 70 million in Q4 or down from 67 million if we adjust for the $3.2 million restructuring expense that we did in Q4 2024. Adjusted for restructuring expenses in Q4, payroll expenses are relatively flat in Q1 2025 despite less number of employees. Explained by certain variable pay reversals in Q4 as well as the full effect of the reduced employee numbers will not happen until Q2. Other OpEx is significantly down quarter-over-quarter, mainly due to lower activity in Q1 as well as less tape out activity. Both of these are timing effects. Overall, cash OPEX is flat compared to Q1 2024. This shows that we've been able to mitigate effects of inflation with cost initiatives during 202024 and into 2025. Going forward, we have communicated that we target a flat OpEx in 2025 and we will continue to focus on adjusting our spending level to adjust margins going forward. However, we do see a negative effect of the weakening of the US dollars compared to NOK and Euro, which has not yet been shown in the Q1 numbers. You'll see some small effects going into Q2. Turning to CapEx, we saw a continued low spending level also in the first quarter with $1.8 million or 1% of revenue. This was down from 3.5 million last quarter. Low CapEx reflects that we're still utilizing the high investments in test capacity made in 2022. Current CapEx is mainly IT equipment and smaller R&D investments. Finally, turning to our cash flow, you can see that we generated a total cash flow of approximately $20 million during Q1. Our operating cash flow was a strong $35 million during the quarter. This is partly explained by improved operating profit profits, but mainly a result of lower net working capital. The main reduction comes from high customer payments due to timing of revenue in the quarter. We got a lot of revenue in the early parts of the quarter. Customer payments was a record high during the quarter and as such customer days outstanding is record low. Inventories decreased by 28 millions in the quarter to $144 million. We commented earlier that we expected a decline in inventories during the first part of the year, however, we continue to strategically source materials to have capacity for future growth. Net working capital over revenue last 12 months was as such a record low 26%, a significant reduction from 34% last quarter and very close to our target of 25%. Included in the cash flow is around $17 million of share repurchase. We did repurchase 1.4 million shares during the quarter to be used for equity compensation to employees. With that, I'll leave the mic back to Vegard for closing remarks.
Vegard Wollan: Thank you, Pal. Let me quickly round off with a few concluding remarks and our outlook for the coming quarter, before we turn to the Q&A. As I already mentioned, we are on track with a renewal of our product portfolio, which we believe will drive growth for the years to come. We have launched the first products under the nRF54 series and we will follow up with two to four nRF54 product families on the smaller and more cost efficient 22 nanometer platform every year going forward. In Long-range, we introduced the nRF9151 in August last year and look forward to introducing the new nRF92 on the 22 nanometer platform in 2026. Furthermore, and also in 2026, we look forward to introducing a new Wi-Fi SoC, the nRF71 developed in 22 nanometer as well. Finally, we just launched the nPM2100 in PMIC and here we expect to launch two to three new products every year. In combination, we believe this product roadmap will fortify our overall leading market position and secure that we remain at the forefront of innovation in our industry. This underpins the growth ambitions we presented for the years to come. And to repeat the ambitions we introduced at our Capital Markets Day last year, we aim to deliver average annual growth about 20% through the decade and to move towards our target operating model of profitability of about 25% EBITDA. I believe the results we have achieved towards the end of 2024 and into 2025 shows that we are progressing well, both operationally and financially, and we look forward to the continuation. Bringing the attention to the immediate future and second quarter outlook, we see year-on-year revenue improvement continuing also in Q2. As mentioned earlier today, the ongoing trade policy conflicts add uncertainty and we could have compensated for that by offering a wider guiding range, however, we believe it's better to present an unbiased outlook based on order inflow and current customer forecasts and rather underline that this guidance is given with the higher uncertainty in the current market. The guiding range of $145 million to $165 million corresponds to an increase of between 13% and 29% from the second quarter last year, with a midpoint indicating a flat development from the first to second quarter. We expect gross margin to remain at about 50% also in the second quarter. So with that I believe it's time to open for questions and over to you Stale.
Stale Ytterdal: Thank you Vegard. We will now open the line for questions using the Q&A Dial in feature. For instruction on how to join the Q&A, please refer to the earnings call invitation posted on our IR website under the Stock Exchange Notice section. To ensure as many participants as possible have the chance to ask questions before the market opens, we kindly ask you to limit yourself to one question. After your initial response, you will be given the opportunity for our one follow up with that. I will now hand over to our operator to begin the Q&A session.
Operator: Thank you. [Operator Instructions] The first question is from the line of Harry Blaiklock from UBS. Please go ahead. Your line will now be unmuted.
Harry Blaiklock: Good morning. Thanks for taking my question, I know you mentioned kind of risks around tariffs and macro uncertainty. It sounds like at this stage you haven't factored anything into your Q2 guide at all, just wanted to confirm that that's the case. And then I know that it's obviously a bit of an impossible question, but do you have any current assessment of what the impact kind of should be, even if it's just a bit of a range, that would be helpful?
Vegard Wollan: Yes, I think as we commented -- Harry, thanks. These are obviously good questions. As I think we commented, we obviously speak with many, many of our customers all the time and especially the large ones. And at the moment we have no indications of any major movements, neither pull-ins or push-outs or changes due to trade climate changes, to use that word. Having said that, we obviously have thousands of customers and we are not absolutely talking with absolutely each and one of them, so that's why we are currently giving you our current order view as well as our updated forecast with our forecast engine, which is obviously growing on a continuous basis day by day and, yeah, that's currently what we see. I guess to your second question, that's a very broad question. If you think about scenarios and thinking of the various of those to the extent that we have done quite a lot of that, yes, but to start sharing and discussing those, I don't think that's a path we will go into. And on that side and on that end, I think it's key for us to state that we feel that on that side we are for the first playing a very even playing field, relatively even playing field with all of our peers and competitors, there are obviously smaller nuances, we feel we are in a good position. Having said that, these changes are obviously adding uncertainty to the current macro and the current climate and we are continuously working our development of a even more diversified and resilient supply chain as a fabulous operator and most importantly continuing to innovate and develop and work closely with our customers on new products as well as supporting them in potential challenges or needs they may have relative to the tariffs and potential trade changes happening.
Harry Blaiklock: Thank you, Vegard. That's very helpful. Maybe a quick follow up. That's hopefully a bit of a simpler question. Wondering whether you can comment on orders and how they developed during the quarter, whether they kind of stepped up sequentially in Q1 versus Q4 and then how they've been tracking at the start of Q1. Also, if you could, if you are able to share your current book-to-bill, that would be helpful as well.
Vegard Wollan: Right, right. Yeah, thanks. I think it's -- other than the fact that we do comment that in Q1 we did see some additional and some boosted orders and deliverables that we did in Q1 to certain individual large customers, which we have commented on, we haven't seen and I think it's fair to say we don't see bigger movements or changes in our forecast engine throughout the last half a year. It's fairly consistent. There are obviously pull ins and pull outs happening all the time but if we look at the sum of things, it is fairly stable for us at the moment.
Pal Elstad: And we don't comment on the book to build, but it's -- there's not much changes there either, I guess.
Vegard Wollan: Yeah.
Harry Blaiklock: All right. Thank you, Vegard.
Vegard Wollan: All right.
Operator: The next question is from Jefferies. Could you please state your name before your question? Thank you. Your line will now be unmuted.
Unidentified Analyst : Had a question on your order patterns from the large customers in the first quarter. So you did see elevated tier one order patterns and I wanted to sort of get a sense of was this broad in terms of the end markets across industrial, consumer and healthcare or was it skewed to a specific end market in the quarter and then how should we think about these elevated orders into the second quarter in terms of your 145 to 165 revenue guide? Thank you.
Vegard Wollan: All right. Yes, I think as we commented on this when we announced Q4, so going into Q1 we did comment on this fact that we would see some elevated order. And they are in -- as we are currently categorizing it, they are in all in both of our segments, so both in consumer, and industrial, health care. And as you are noting, we are not repeating this comment in our Q2 guidance, which means that we don't see a similar effect here and now for Q2 is probably fair to say.
Unidentified Analyst : Thank you. That's very helpful.
Vegard Wollan: Thank you.
Operator: The next question is from the line of Christoffer Bjornsen from DNB. Please go ahead. Your line will now be unmuted.
Christoffer Bjornsen: We're from DNB Markets. Good morning. Christopher from DNB Markets. Yeah, on that note, I just want to ask, you highlight that there was several customers, but one in particular that did do some higher volumes in Q1. So can you maybe help us understand kind of the magnitude of that just for us to kind of gauge the underlying sequential momentum that we're expecting from Q1 into Q2 in broad strokes?
Vegard Wollan: Yes. Thanks, Christopher. I don't think we have said single customer I think we have said several certain large customers, I think it's important for us to repeat that because this is not a single customer. And as I just said, it's also now covering customers in both of our reporting segments. We don't quantify it and we didn't do that entering it when we don't do that today either but we think it was important and is important for us to signal it as we were entering into the first quarter, as we did the last time when we reported Q4.
Christoffer Bjornsen: All right, sure, thanks. And then just a quick follow up. Long-range was up quickly much year-over-year in Q1. It's been lumpy. Can you try to kind of help us understand it as new level is kind of reflecting a more stable level with bigger, more kind of stable customers, or is this likely to be could be up and down massively in Q2 as well?
Vegard Wollan: Yeah, no, that's a great question, Christopher. Thanks for that. I think we do see that we are continuing our, our positive progress in our long-range business, which is very important for us. I think at the same time we do acknowledge that it is still a smaller contribution in terms of our total revenue and we do expect some fluctuations going forward as well. We do see very strong design interest, particularly for our new nRF9151 module and also additional interest now with our satellite communication added to that. However, these are relatively long design cycles for a very complex product and also products that require infrastructure design elements as of cellular networks and satellite networks. So there is a bit of a design time required on our customer side, but we are very positive about our design activity and interest we have in the long-range at the moment.
Christoffer Bjornsen: All right, thanks.
Operator: The next question is from the line of Sebastien Sztabowicz from Kepler Cheuvreux. Please go ahead. Your line will now be unmuted.
Sebastien Sztabowicz: Yeah. Hello everyone. Thanks for taking my question. I'm just wondering where we are standing with respect to the inventories in Nordic [Phonetic] market. Is it fair to assume that now the inventory adjustments are clearly behind us? And the second question is linked to the Chinese market and the world market. Have you made any specific, I would say, progress with respect to this market and do you see any specific implications from the trade dispute with your opportunity in the Chinese market? Thank you.
Pal Elstad: So even though the inventory was in the market, not all inventories, I assume, and I think we continue the comments from last quarter that we see that they're pretty normalized, that there's good flow through both from Nordic to via distribution to end customers. So we've talked about industrial in Europe, for example, where it's an area where there might be some excess inventories, but we are seeing a recovery in that area too, so hopefully that will go into increased demand going forward that inventories are normalized in that market. For the China?
Vegard Wollan: Yes. For the question about China, I think China has been growing continuously for us after the shortage, after the pandemic, and that is both on the business and new design activity and it is continuing to grow and be strong for us in China.
Sebastien Sztabowicz: And how do you see your competitors there in the Chinese market? Do you see them gaining a bit of traction versus the Western guys or --
Vegard Wollan: I think if you're relating that to the particular, let's say, last three months timelines, I don't think we see disruptive major changes in any regard of that, as you would expect. I think the key thing for us is that Nordic is recognized as a very high quality, high performance provider in the Chinese market. And there are many, many product makers in China that are making very high quality type products, products for the international markets and products that require interoperability and high quality radio performance, and Nordic is being recognized as a leader in that space also in China.
Sebastien Sztabowicz: Thank you.
Operator: The next question is from George Brown from Deutsche Bank. Please go ahead. Your line will now be unmuted.
George Brown: Yeah, hi guys, thanks for taking my questions. I have two if I may. So just firstly, I guess at a high level, just following on my China topic, are you guys like somewhat favorably positioned in this geopolitical environment? I see one of your Chinese competitors, I think in cellular, I believe got recently blacklisted. So I guess my question is are you seeing more design activity or conversations with Western customers that previously relied maybe on cheaper Chinese vendors but are now concerned about security or whatever? And so this opens up opportunities for you guys to take some share. Any comments on that would be helpful. And then secondly, just on matter and thread, I think your main peer in the US was recently talking about more design activity in matter in the smart home. Can you remind us of where we sit in terms of matter adoption and are you sort of seeing any revival of interest there? Thanks guys.
Vegard Wollan: Yeah, thanks George. Great questions. I think on your first question you have the trade tension climate and of course you have also potentially what you can see as more regulatory changes or directions happening in that space. Without wanting to focus on that today, there are obviously also opportunities in this space and I think you are pointing to one of them and we are of course very aggressively and actively addressing that part of, let's say, the tension or the climate we are in as well and probably a bit more in certain product segments than others. We do see that this is potentially giving us some additional traction and opportunity, particularly in North America and Europe.
Pal Elstad: For the cellular business.
Vegard Wollan: Yeah, for instance for more complex products on the cellular business and long-range side, so I think that's fair to say. I think on matter we do see increasing design activity and while we also realize that some of it has taken a bit longer than some of us may have hoped for in the past, but we do see strong activity there and we have strong and positive beliefs for that in the times to come. Thank you.
George Brown: Thanks guys.
Operator: [Operator Instructions] And next we have Oystein Lodgaard from ABG. Please go ahead. Your line will now be unmuted.
Oystein Lodgaard: Morning, this is Oystein Lodgaard from ABG. Thanks for taking my question. If you look at the segment performance, there is a very strong sequential performance in the industrial and healthcare segment. And just I wonder if you could shed some light on what you think are the key drivers behind that. Is this due to inventory levels of customers? Is it ramping up of new designs or could there be some pull in effects here? Could you just help us explain this please?
Vegard Wollan: Yeah, I think it's fair to say that we don't give more granularity and more details to the segment revenues and there are purposes which I think we have commented on in the past which is, which is having us move into the new segment structure such that we don't identify necessarily the details of individual customers and some customers which we have commented in the past. I think though having said that we do see improvements in industrial healthcare a bit across the line and we do also now see some improvements in Europe industrial, which I think we have previously seen as a very, very slow and probably being the latest and longest in the downturn. So that's probably fair to comment on but we don't give more granularity within the segment.
Pal Elstad : That's sort of part of the broad market that's improving in that area.
Vegard Wollan: Yeah.
Oystein Lodgaard: Okay. As a follow up, let me try to rephrase. One of your peers reported last week and said they saw low inventory levels particularly in the industrial segment and that segment is now doing a comeback. Is that the same thing that you are seeing the market, your customers?
Pal Elstad: Partly I mentioned that, that we do see recovery in that area, not to super growth, but with a recovery, hopefully, because they've had large inventories for the last year and now that's improving.
Vegard Wollan: Yeah. There's also an inventory part of that, I think, also coming from a lower part of a semiconductor cycle, not necessarily particularly for Nordic, but in general, I think part of that, which is probably relevant to comment there, is that our customers typically keep inventories depending on days of inventories and a run rate of that, and if your run rate is relatively lower, you're coming from a lower inventory level, if that helps.
Oystein Lodgaard: Yes, thank you very much.
Operator: Thank you. As there are no further questions on the telephone lines, I will hand the call back to Stale for further announcements.
Stale Ytterdal: Thank you, operator. Before we conclude today's session, I have a few announcements. Tomorrow, Wednesday 30th of April, Nordic will hold total two post Q1 result and Q&A group calls for analysts and investors. These calls will be attended by our CEO, CFO and IR team and will be moderated by the covering analyst at each brokerage. We kindly ask all participants to register for only one call group, the one that matches your geographical region. For details on how to register, please visit the IR calendar on our website. I also like to remind you that the AGM will take place on Monday 5th of May at 10 AM CEST. For more information and registration, please visit nordicsemi.com/agm2025. Then we have a revised date for the Q2 earnings call. Q2 earnings call is moved from 10th of July to Wednesday 13th of August. With that, I will now close today's Q&A session and hand over to Vegard Wollan for final remarks.
Vegard Wollan: Thank you. Thank you, Stale, and thanks to everyone for participating and joining us this morning. This concludes today's call. Thank you.
Pal Elstad: Thank you.